Operator: Good day and thank you for standing by. Welcome to Pilbara Minerals September Quarterly Activities Report. At this time all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. Please note, Pilbara Minerals will be only taking one question per person with one related follow-up question permitted. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Pilbara Minerals Managing Director and CEO, Dale Henderson. Please go ahead.
Dale Henderson: Thank you, Kandy, for the introduction. And thank you all for joining our September quarterly update this morning. I'd like to begin by acknowledging the traditional owners on the lands in which our businesses operate, the Whadjuk people of the Noongar Nation in Perth, we are undertaking a call from today, and the Nyamal and Kariyarra people where our operations are located in the Pilbara. We pay our respects to the elders past and present. For the call today, I'm joined by Luke Bortoli, our CFO; and Brett McFadgen, our Executive General Manager of Operations; who is calling in from site. Also have in the room, the wider team, whom is also supporting the call. For the call today, we have an hour, and we'll step through a presentation, followed by a Q&A. Now turning to Slide 2. The pillars of our strategy are prioritized to generate the most rapid value creation for our shareholders in service of our vision, which is to be a leader in the provision of sustainable battery materials products. The September quarter made steady progress against each of the pillars of the strategy. Turning to Slide 3. The September quarter was one of solid operating performance and on track project delivery and what remains a challenging point in the market cycle. For the September quarter highlights, we are pleased to be able to report another strong operational quarter with production of 220,000 tons achieved through strong throughput run time and very good lithium recoveries averaging at 75%. Sales were in line with production at 215,000 tons. Unit operating costs FOB was $606 per ton from the combination of volume uplift and ongoing focus on operational efficiencies to reduce cost. We made progress across our growth portfolio with the P680 crushing and ore sorting commissioning completed and in ramp-up and P1000 construction progressing on time and on budget and with the transaction to acquire Latin Resources, so it's been a busy quarter as it relates to projects and growth. Revenue, $210 million, reflecting the lower price environment and Pilbara Minerals has continued its ongoing focus on prudent cost reduction initiatives in response to lower prices. Now because of these lower prices, we have decided to optimize the operation further to the high performing, lower cost Pilgan plant while temporarily pausing production of the Ngungaju plant to reduce costs and further strengthen our financial position. We will provide more detail on this later in the presentation. At this point, I'd like to hand over to Brett to take us through an operations segment.
Brett McFadgen: Thank you, Dale. Moving to Slide 4. Starting with safety. As you can see, our safety performance has been steady with a modest increase in TRIFR from 3.73 in the prior quarter to 4.03 for the September quarter. Our safety program initiatives continue to gain traction, empowering employees to actively participate in creating a safe work environment. Moving to Slide 5. We had a solid operational quarter with production and costs ahead of expectations. In the mining area, mining performance exceeded planned volumes, achieving total material movements of 9.4 million tons for the September quarter, which was slightly up on the June quarter of 9.2 million tons as well as being a 3.4% lift in volumetric movement from the same quarter in FY2024 of 9.1 million tons. In the processing, lithium recoveries for the quarter of 75.3% were above target as well as the previous quarter at 72.2%. As mentioned in the previous quarterly results, the resolution of ore feed mineralogy in the later stages of previous quarter, in conjunction with improved and consistent plant performances, including the primary rejection facility and ore sorting technology are key contributors to the continuous improvement in recoveries over this quarter. Production exceeded 220,000 tons, which is broadly in line with the prior quarter of 226,000 tons. The slight reduction in production compared to the previous quarter was to allow for the final commissioning of P680 crushing and ore sorting, which was completed in July. The consistent performance demonstrates the P680 expanded production capacity, higher ore lithium head grade and higher lithium recoveries due to operational improvements including the mobile ore sorters. Thank you. I will now hand back to Dale.
Dale Henderson: Thanks very much, Brett. Moving to Slide 6. The P1000 project remains on schedule and on budget and is now 80% complete as at the end of the September quarter. The P2000 feasibility study is underway and remains on schedule for completion in the December quarter 2025. And just a reminder that any progress and further FID will be further down the track as a function of market conditions. With regards to the midstream project, in light of the current market conditions, the joint venture partners being Calix and Pilbara Minerals have agreed to defer the project until market conditions improve or further government support is secured. I'd like to thank both the operations team and projects team for the ongoing success with integrating the expansions and run the operations. It's fantastic to see the operation continued to perform here of on track projects and the successful commissioning and ramp-up. Thank you, team. Now moving to Slide 7 for a quick update on the downstream joint venture with POSCO that is progressing well. In fact, the ramp-up of Train 1 continued producing 1,965 tons of lithium hydroxide during the September quarter and Train 2 is on schedule to complete commissioning in early 2025. Just a reminder, we currently set an 18% equity interest and Pilbara Minerals has the option to step up to 30% at our election. Moving to Slide 10, Latin Resources. So the transaction to acquire Latin Resources was a major highlight for the quarter. This is an on-strategy countercyclic transaction to diversify revenue beyond Pilgangoora, which will deliver a second 100% owned hard-rock lithium asset. The process to complete the transaction is progressing well. We anticipate the scheme meeting to approve the Scheme Implementation Agreement to be held in January 2025 and that the transaction will complete either late January or early February. Now with that, I'll now hand to Luke.
Luke Bortoli: Thanks, Dale, and good morning to those on the call. Please turn to Slide 10 of the presentation for a summary of the Group's key financial metrics for the September quarter. Group revenue in the September quarter was $210 million, a 31% decrease on the June quarter. This was driven by a 19% decline in the average realized price combined with 9% lower sales volume. The average realized price declined from US$840 per ton in the June quarter to US$682 per ton in the September quarter. While declining prices impacted our financial performance in the period, the Group's operational performance was strong, as mentioned by Dale. As flagged in the June quarter presentation, lower volume and higher costs were expected this quarter due to reduced plant time resulting from the integration and ramp-up of the P680 crushing and ore sorting facility. Pleasingly, actual results exceeded our internal plans. Production volume of 220,000 tons in the September quarter was 3% lower than the prior quarter, but higher than we had planned. Looking at unit costs, unit operating costs on an FOB basis increased by 3% in the September quarter compared with the June quarter to $606 per ton. This increase was driven by lower sales volume, offsetting a decline in mining and processing costs but was also better than expectations. On a CIF basis, unit operating costs were $717 per ton in the September quarter, 2% lower than the prior period. This reduction in cost was driven by lower royalty and shipping expenses due to lower prices and shipment volumes. Finally, the Group's cash balance at 30 September was $1.4 billion and remained strong. I'll speak more about this on the next slide in the presentation. Turning to Slide 11. Despite lower prices, the Group continues to maintain a strong cash position with a closing cash balance of $1.4 billion as at 30 September 2024. The September ending cash balance was $274 million lower than the prior quarter, primarily due to capital expenditure of $214 million. Focusing on cash margin. Our cash margin from operations defined as receipts from customers less payments for operating costs was positive and $49 million in the quarter. However, cash margin from operations less ongoing CapEx being capitalized mine development costs and sustaining CapEx was negative $2 million for the quarter. As mentioned earlier, lower prices are now impacting our financial performance and also cash flow. Looking further into CapEx spend. CapEx spend was $214 million on a cash basis and $209 million on an accrual basis in the period. This included growth CapEx of approximately $103 million related to the completion of the P680 project and continuation of the P1000 project. It also included new projects and enhancements capital spend of approximately $55 million, mine development costs of approximately $44 million and sustaining CapEx of approximately $7 million. In light of continued lower prices and lower cash margin from operations in this period, the Group has responded by continuing its focus on prudent balance sheet management and cost reduction initiatives, which Dale will speak to in the next section of the presentation. I'll now hand it back to Dale.
Dale Henderson: Thanks very much, Luke. Now moving to our market commentary. We've put together an outline of the historic market dynamics, observations of the current market and our response to the current market. So it'll be slightly more expanded in the section given there's plenty of interest and people are keen to hear our insights as a major player in the lithium sector. So moving to Slide 13. The lithium industry continues to grow rapidly from a small base. The structural drivers for this growth include the renewable energy shift, technology adoption and government policy support. These driving forces have translated to a significant growth rate. Pricing for lithium products have seen periods of significantly elevated highs and lows, sometimes occurring very rapidly and surprising all. This volatility is in part driven through the combination of short-dated pricing mechanisms and efficient trading mechanisms and periods of momentum buying in some markets in short and a mature market. At times, pricing responses appear outsized compared to the expected supply and demand. We have highlighted by example, the modest supply shortfall that occurred during calendar year 2021 and 2022 that precipitated the strong escalation in pricing for this period, so reference the green square on the graph. Now moving to Slide 14. Although supply curtailments have continued, particularly during the course of the past 12 months, the market continues to have a level of excess supply as shown in the graph here, the start of secure benchmark. I draw your attention to the green vertical line, which represents benchmarks estimates of demand for the year. The area to the right, those stacked columns represents effectively excess supply in accordance with benchmark’s data. Now this data also shows that a large proportion of the supply is currently operating at a unit cost much higher than the prevailing spot market. So draw your attention to the horizontal red line. So the bars which are above that red line are effectively operating at a higher cost and the sales price based on benchmark start-up. So spodumene pricing is approximately US$750 per ton. Well, that's approximately half the consensus long-term price for the market of US$1,400 per dry metric tons. So we're expecting price movement upwards over time because this is simply not sustainable. However, to find the market in this position, there's no surprise given that what we're witnessing is a rebalance occurring following the very strong pricing period that occurred through calendar year 2021 and 2022. There is just more to go in our view around this rebalance and ultimately, price appreciation, which could happen very rapidly as we've seen historically. Now on the demand side, strong signs continue to support growth. And moving to Slide 15. What we have highlighted here is some of these strong signs. The graph on the left-hand side details global cell production, growth curve and the average sale costs, which you can see continues to fall. Now it used to be $100 per kilowatt hour was historically viewed as the key threshold to attain to facilitate adoption. However, this has now been surpassed with the global average moving below $80 per kilowatt hour and with China LFP cells around about $60 per kilowatt hour. The pricing – unit cost pricing continues to fall, which, of course, helps further adoption of this energy storage product. Now moving to the graph on the right-hand side. This compares to the relative cost of internal combustion engines against EVs within the China market. Now you can see EVs have moved through an inflection point for China over the past year. These EVs are offering a more competitive alternative to their internal combustion engine counterparts. Commensurate with the shift of the steep increase in EV penetration rate reference the green line there. So China continues to lead the way in technology adoption and technology development in this area. China represented approximately 62% of global sales year-to-date and have accounted for approximately 70% of global sales across both August and September periods. This is a significant contribution to the strong global numbers being 30% year-on-year growth rate through to September. To put EV sales and perspective, in China. It would take roughly six weeks for China to match the year-to-date EV sales from the U.S. and roughly 3.2 days to match Australia's EV sales. Markets such as China and Norway, our window into the future. They are the early movers. And what we're bearing witness to is how these markets may evolve over time. This is a broad global transition, which is only getting started. So it's exciting to see this take flight in front of us all. Now moving to Slide 16. The lithium market is emerging care of several strong drivers being the energy transition, technology adoption and government policy. The emergence of new supply chain serving this new market has been tumultuous as companies compete for position, allured by the market potential and periods of strong pricing that have occurred to date as discussed a moment ago. This volatility is further exacerbated by government influence through both stimulus and industry protective measures. For Pilbara Minerals, we remain focused on looking through these periods of volatility to capitalize on the long-term opportunities this market presents for our shareholders. Navigating this market has always been a case of continuing to drive down costs and manage capacity timing carefully. Pilbara Minerals has been disciplined at managing capacity, and we have timed each capacity step with care. By way of example, when we acquired the Altura option, now named Ngungaju in 2020, we placed the asset immediately into care and maintenance, given the higher operating cost of this asset and the valueless exercise of selling additional tons in that prevailing market. Today, given the supply profile outlook shared a moment ago and the prevailing price, we've made the decision to place this asset back into care and maintenance from December this year. Moving to Slide 17. As a Board and management team, we have kept focused on controlling the factors we can control. Investing prudently in our competitive position through lowering our cost base and building capacity in line with the market, all in service of maximizing value for our stakeholders on service of our mission. The decision to place the Ngungaju operation formerly owned by Altura on temporary care and maintenance, optimizes the operating platform for the prevailing market conditions. This further reinforces the balance sheet preserves ore reserves for higher-priced environments and positions this capacity ready for recommencement when higher price environments return. This shift adjusts the expanded operating capacity to approximately 850,000 dry metric tons at a 5.2% product growth. Now just to expand on this, so we have absolutely named this new operating platform, the P850 because we are creative. And the rationale here is that 850 ties to the current mine plan. And for the avoidance of doubt there, as it relates to nameplate production capacity, there is no change. The actual production capacity is a function of mined head grade and product grade. The 850 that we mentioned there relates to 5.2% product grade, the current mine plan. If anyone would like to refresh on the outlook for produced volumes. If you reference back to the P1000 FID, we provided some detail there on the total production capacity as a function of 5.2% head grade, which all equals numbers well above 1 million tons per annum in the order of 10% to 20% higher as a function of product grade and head grade. So please feel free to reacquaint yourself with that. P850 is the number for the year itself, and I'll get to this in a moment, but it's slightly less. This is a ramp-up year much like last year. But as we move into FY2026 850 is what we're expecting subject to head grade and subject to being fully ramped up in steady state. Now moving to Slide 18 for a little bit more detail on the operating model. The operational optimization is in combination with capital expenditure reductions. This will enhance the company's balance sheet through a significant FY2025 cash flow improvement of over $200 million compared to the previous model. Others will be achieved primarily by reduction in TMM, mine movements, a reduction in operating costs by using the lower-cost Pilgan plant and a reduction in CapEx. These changes, of course, translate to an impact to the team, particularly at site. This is a heavy step for us to take that has a real impact on our team. However, we have the opportunity to redeploy a number of the staff to this expanded Pilgan facility care of the P1000 expansion that will be ramping up. And of course, we'll be looking to deploy as many of those staff as possible into that new expanded facility. The Ngungaju plant will remain in care and maintenance ready to be fully ramped up within approximately four months when market conditions improve, allowing the company to quickly capitalize and capture value in a rising price environment as we've done historically. Now moving to the next slide, Slide 19, guidance. So the change in the operating model has led to a revised guidance for the financial year we're in, as displayed here. Guidance for FY2025 is broadly in line with FY2024 production volumes despite placing the Ngungaju plant into care and maintenance. It also gives rise to a lower unit cost relative to FY2024 for approximately the same volume. This reflects the increased production volume capacity and operational efficiency at the Pilgan plant resulting from the P680, P1000 expansion projects and ongoing operational efficiencies. So for a rather modest step down in production volumes, we are achieving an improved unit cost position. And bear in mind, as I mentioned a moment ago, this is a ramp-up year as we step into FY2026, will ramp up, all going well will be completed. We'll be at nameplate and we'll enjoy the benefits of this larger facility with all of the recovery tools the Brett team have at its disposal. So looking forward to further reductions in unit cost and time. I should also add that this revised operational plan does satisfy all of our long-term offtake agreements. There is no concerns in that regard and we're in good standing there. The guidance range for capital expenditure is also noted here, which entails a reduction. And as a reminder, we have not yet completed the Latin transaction. So this has not been included in the numbers that we see. Now moving to some final comments and before we go to questions, I’d like to finish with a couple of key remarks here. The lithium market is an emerging industry that is growing rapidly and remains volatile. We have been successfully navigating these choppy waters for a number of years. The Group remains resolute in our mission and strategy, building our position as a leader in lithium achieved through ongoing improvement in our long-term cost performance, maintaining a strong balance sheet and discerningly growing capacity over time lockstep with the market. The September quarter is a demonstration of delivery against this plan with solid operating performance and on track project delivery and what remains a challenging point in the market cycle for lithium. The decision to transition to the P850 operating model has not been taken likely, but that is the right move for the company in response to this part of the market cycle. Reinforcing the balance sheet, preserving ore reserves for a higher price environment and having the flexibility to step up production volumes quickly when higher pricing conditions return. Although the lithium market water remains choppy, we remain focused on navigating these cycles as we have done before, positioning the business to maximize value for shareholders and deliver on our mission. Now with that, I'll hand back to the moderator to go to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Levi Spry from UBS. Please go ahead.
Levi Spry: Yes. Good day, Dale, and team. Thanks for your time. Maybe can you just help us with the physicals, I guess, through? I know you reversed the study, but operationally is going very well, recoveries, grades, things like that. Can you just step us through, I guess, the next few quarters and how we think about the P850 into next year, in that context? Is that at 75% recoveries, for instance? Are the grades still close to 1.5%? Can we just get a bit more detail on that?
Dale Henderson: Yes, I'll offer a comment and then Brett weigh in on this. Being a ramp-up year, really the bulk of the integration works occurs in the next half of the year, so March quarter and June quarter. As it relates to our recoveries impacts, they are built into the plan. The shift in operating strategy doesn't really change at all. The strategy around that Pilgan ramp-up. The change is more around turning off the Ngungaju plant and reoptimizing the mine plan for the Pilgan plant. So same plan for Pilgan as it relates to recoveries and fee growth, but I'll hand to Brett to offer a comment there.
Brett McFadgen: Yes. Thanks, Dale. Yes. Completely agree. No change to the physicals really for Pilgan, and we'll still be leveraging the P680 upgrades, which is the ore sorting. So a lot of the recoveries are built in, but we will be taking some of the commissioning impacts that we've already built in as we know, when we stop start these plans for commissioning we do see a recovery loss, but we've built those into the plan.
Levi Spry: Okay. Yes. And I guess, the $200 million of savings. So what price is that based on?
Luke Bortoli: Hi, Levi. It's Luke here. That's based on a price of approximately US$700 a ton.
Levi Spry: Okay. Thank you. And so I guess tying that back into more specifically, what you're seeing that's changed in mind here and what might see it change back the other way? How do we think about that? Is there something you've seen on the supply side? Or is this price driven? And therefore, what do we think about in terms of a price to turn it back on?
Dale Henderson: Yes, Levi, good question. And of course, we get some pretty good insight into the market. But even for Pilbara, it's incredibly hard to see the moves and the shifts, both supply side and demand side. What we see is the need for a little bit more supply curtailment as sort of referenced in the earlier commentary. According to that graph from benchmark, there's not a lot more to come out, but still more is required. And subject to that change, we'd expect a positive price movement. All that being said, the market has a tendency to surprise all. And we know that we're in a relatively very strong financial position. The number of suppliers whom are frankly, we're a little bit surprised haven't bowed out at this point, but good on them, but we expect a pricing persist they will have to depart at this price level. It's just a question of when. So for us, it's more around taking a conservative approach with the balance sheet, making sure that we're reinforcing the foundation such that are absolutely beyond doubt going to be able to manage this period. And if there's to be a silver lining, as you know, with these cycles, Ultimately, this probably sets up another price front. This has been stifling investment and groups like Pilbara who have built out our operating base will we should be well positioned to enjoy that when that comes. Does that help, Levi?
Levi Spry: That was great. Yes. Thanks for the extra color, and thanks for your time. Thanks, Dale.
Dale Henderson: Thanks, Levi.
Operator: Thank you. Our next question comes from the line of Hugo Nicolaci from Goldman Sachs. Please go ahead.
Hugo Nicolaci: Good morning, Dale and team. Thanks for the update. Just first one I wanted to ask around some of the implications of putting Ngungaju into care and maintenance. You're nearly fully contracted for FY2025 if we include all of the options in some of those offtakes you'd signed earlier in the year. Can you provide a bit of commentary? Has the customer actually pushed back on taking some of the physical volume? Or do you expect to just not use those options in offtake and this volume cut comes out of unallocated volume?
Dale Henderson: Hugo. Good question. On the first part, as it relates to pushback from customers, you confirm there's no pushback. We're contracted with what we think are the best in the business. They're all complying, they all want the product, no issue there, and in some cases, looking for more products. So – and obviously, bear in mind, we're dealing with, as I said, some of the best, the strongest, lowest cost operators whom, in our view, are partnered into the supply chains in matter. So that's as it relates to customer response currently. To your question on the offtake management, yes, unlikely we would initiate those options that we've got built into the offtakes that you mentioned. We built them in preemptively as part of the offtake extensions earlier in the year. And we did that because we like options and as a function of this volatile market. We wanted the ability to contract out additional components of tonnage, if that was the best thing for Pilbara. But in this operating model, no, we won't be initiating those options. We'll be sticking with the base offtake levels.
Hugo Nicolaci: Got it. Thanks for that, Dale. And then just a second one around the cost performance elaborating on Levi's question. I mean if I kind of work through your guidance, it implies that the Ngungaju unit costs for the next seven months of the year rather going to be slightly below the 15% above spodumene pricing. Are you able to elaborate on how much of the care and maintenance decision is on the cash generation out of the plant itself versus broader cost mitigations for broader operation where you don't – you can't turn down the mining fleet without reducing utilization at Pilgan and so it's more around Ngungaju has to come out to be able to make those cost optimizations. And then just as an aside, can you confirm then that without Ngungaju when you do the P1000 tie-in, production effectively drops to zero for that duration?
Dale Henderson: I might offer a touch of color on the physicals and then Luke can offer a comment as well. So as – and let me give you the high level and then talk about the year we're in. So the Pilgan operation comes with all the tech and scale to achieve a very low-cost operation. That's why we invest in the ore sorters. That’s why we've invested online analyzers. And the team has integrated into that facility and optimized it for the ore body. So scale has a new tech and the early signs look great. Contrasting that with the Ngungaju facility, it was a cheaper build care of Altura, the team has done a sterling job doing upgrades, but there are some physical limits in terms of the performance of what that structure can achieve. And that's certainly what we have witnessed as we've been operating this over the last two years. So one versus the other. It's an obvious choice as it relates to processing capacity. So that would be the first point. Second point relates to ore feed strategy. The Pilgan operation can cater for different ore feed care of the ore sorters and care of the additional processing capacity. That also factors into this optimized model and equation. And then, of course, is the physical step down as well, and we are at in the mine plan. So it's some of those factors coming together at this point in the mine plan is contributing back to the $200 million cash flow. So that's really what's guided a lot of why the numbers make sense over this decision. Luke?
Luke Bortoli: Yes. Just to add to that, Hugo, the business saw in this period or in this quarter negative cash flow from the perspective of cash margin from operations less ongoing CapEx. We wanted to respond to that quickly and effectively with two key objectives. One was to reduce that cash burn and two was to reduce our all-in sustaining cost to a level which is closer to market prices. The operation has a number of levers to reduce costs and we did a whole bunch of work around examining what are our different options to reduce cost and reduce cash burn and improve our financial position beyond the very strong position that it's in today and one lever that we could pull, which reduced cash burn quite materially was putting Ngungaju into care and maintenance. There are various other options considered, but that was the one that had the least impact on the operation that could give rise to the highest cash flow improvement.
Hugo Nicolaci: Got it. Thanks guys. I'll pass it on.
Dale Henderson: Thanks, Hugo.
Operator: Thank you. Our next question comes from Rob Stein from Macquarie. Please go ahead.
Robert Stein: Hi, Dale and Team. Thank you very much for the opportunity. Just on the mechanics of shutting down Ngungaju. Are you – so are the people that are based there? Are they PLS employees, so it's quite easy to move them? Is it – are there any significant demoing associated with contractors? How should we think about that element?
Dale Henderson: Yes. Thanks, Rob. In terms of the people changes, it's effectively pure people either through staff or contractor or contractors, not contract or entities. So in domain, albeit be disruptive, very disruptive for the team on site for the individuals to step through this changes. It's relatively simple. And that we're not demoing a separate contracting entity, et cetera, et cetera.
Robert Stein: Thank you. And then in terms of, I guess, the longer-term implications for P2000, obviously, you're showing that you are very responsive to the market here, which is pleasing. But in terms of what this means for the long-term sort of P2000 mine plan, if you were to reoptimize now on the basis that this thing was out of action for a few years and there's a sort of a make good cost to bring it back online, would you, I guess, relook at the mine plan and the production rates that you would bring in P2000 in light of this move?
Dale Henderson: Yes. Thanks, Rob. So yes, to offer a little more color here. As it relates to the way the mine plan progresses, broadly speaking, no change with this change or as we think about setting up for ultimately for P2000, it's more a case of progressing that rate of mine movement at a more faster rate. So having orchestrating this shift for the operation, we're not accruing some sort of deficit or burden that we need to address later on. As to the broader question of P2000 timing, et cetera, et cetera. Well, as we've done historically, we will ready ourselves for the right next steps of expansion which, of course, includes P2000. It includes the Salinas asset for the Latin Resources acquisition. Any progression and certainly any FID will be down the track and time with the market as we've done historically and very successfully. Does that help, Rob?
Robert Stein: It does. Thank you. I'll pass it on. Thank you.
Dale Henderson: Thanks, Rob.
Operator: Thank you. Next question comes from the line of Rahul Anand from Morgan Stanley. Please go ahead.
Rahul Anand: Hi, Dale, Luke, James and team. Thanks for the call. Two from me. Firstly, I guess, a bit into the operationals for the P850. Obviously, Ngungaju was a lower recovery plant and you are running grades at around 1.5 when reserves, it said about 1.15. So I just wanted to check, I mean, with Ngungaju offline and with you expecting to be at P850 now? What's your recovery target now once you're into, I guess, the reserve grade for the asset? Just trying to sort of think about what type of impact there might be from a positive standpoint there? That's the first one. Thanks.
Dale Henderson: Sure. Thanks, Rahul. So the long run recovery target for the operation has been 75% at approximately 1.2 head grade. Now we've held that sort of target in mind actually for quite a few years. As to considering a re-rate of that, we certainly like the idea of doing that, and we are optimistic of ultimately being able to do that. The reason for that is we're in a phase where we are now deploying a bunch of the tools, which could help us reconsider that, specifically the ore sorters, which are busy being ramped up and optimized. We've got online analysis to come. And as it relates to the ore body understanding, we've continued to mature knowledge around ore discrimination and so on and so forth. Now some of those things ultimately play through to enabling the team to improve recoveries further. However, we've yet to prove that in action in the field. But over the next year to probably two years where we'll have a chance to really see where we can stretch things. And certainly like the idea of the back of that proven demonstration being able to reassess and reset those long-term assumptions.
Rahul Anand: No, that's indeed very interesting and look forward to that update. The second one is more around the market, Dale. You've talked about this a few times today in the presentation around how lithium prices can move quickly and that will allow you the opportunity to perhaps extract some of that economic rent when that comes about through Ngungaju. I guess my question is more around how you sort of form that view just given that every cycle is different, and it seems like this cycle we've had now capacity coming offline slowly across high-cost operators. Ngungaju was one for you where you've taken that offline. Don't you think that when demand does come back on that, that price spike would then be held back by the fact that you'd have capacity available to be restarted very quickly? In your case, that sits at about four months, which would cap the upside that you're sort of talking about?
Dale Henderson: Yes. Thanks, Rahul. Yes. So obviously, this is the crystal ball gazing category. But to the concept of – this time of the market is different from what we've seen historically, absolutely agree and to the concept around some swing capacity being able to come back on and effectively range-bound pricing. I think that dynamic is possible for sure. So yes, we might see that for a period. I think we will all find out ultimately beyond that, additional capacity is not being invested in them. Explorers are unable to move forward. There's very few developers and all those they're pretty challenged. And meanwhile, the broader demand story continues to grow in leaps and bounds. So yes, there maybe a period of maybe some range-bound pricing we will see. But ultimately, I think beyond that, there will be a shortage. But we'll all find out in time.
Rahul Anand: Yes. Sure. Thank you for that. Really appreciate the comments. I will pass it on.
Dale Henderson: Thanks, Rahul.
Operator: Thank you. Next question comes from the line of Matthew Frydman from MST Financial. Please go ahead.
Matthew Frydman: Sure. Thanks. Good morning, Dale and team. Maybe following up from some of the other questions. I'm just a little bit confused about separating the impact to your production profile from idling Ngungaju with whatever else is happening across the rest of the business. So in the presentation, you've shown production capacity of 1150 is going to 850. I'm just trying to understand how much of that is Ngungaju and how much is Pilgan and why? And I guess maybe more specifically, you referred us back to the P1000 FID production profile in that profile in FY2026, you had 1.2 million tons of production at a higher concentrate grade and only about 200 kilotons of that was coming from Ngungaju. So it looks like Pilgan has gone from 1 million tons at a 5.7% grade to 850 out of 5.2% grade. Is that the right way to interpret it? And if not, please let me know where I'm going wrong with it.
Dale Henderson: Matthew, thanks for the – and yes, there's a couple of other variables, yes. So one is Ngungaju capacity has been able to be improved. And yes, subject to head grade, we are able to move above that original 200 that we had in mind back in the day at something more like 240 to 250 and Brett, feel free to weigh in here in a moment. But there's more capacity headroom there. That's one factor. The other factor just to highlight is I can't emphasize enough the impact of head grade in the front of these operations. So in comparison to the P1000 FID, what's new and different as we've materially upgraded the reserve, care of the drilling we've done and announced previously. So that forward mine plan that you saw back at around P1000 FIDs, it's quite different from what we've got today. So head grade has changed. And we don't provide an outline of head grade because we like to retain flexibility depending on how we want to change the mine. But those are two key factors. Does that help, Matthew?
Matthew Frydman: Yes. Thanks, Dale. Maybe extending that head grade discussion then does just turning off Ngungaju give you more flexibility to sort of grade stream and provide an optimal feed grade to Pilgan? Or conversely, because you're taking out what is it about 40% of your fleet capacity does that offset any potential benefit that you might have gotten? Or in other words, you're kind of a little bit more constrained because of what you're changing within the mine plan as to what you can feed to Pilgan?
Dale Henderson: I think the short answer is that yes, turning – we do think about the two processing plants is different, and they've got their own limitations as it relates to Pilgan, it's more flexible. So yes, we can feed different ore to that plant, given its additional capability. And as to where the mine plans at, there is an overlay there where you're at with development. This moment in time with the volumes required, we will be more weighted to Central pit, which helps with the fleet reduction that we've outlined. But that is a moment of time in the mine plan. Does that help?
Matthew Frydman: Okay. Thanks, Dale. Yes. Thank you.
Dale Henderson: Thank you.
Operator: Thank you. Next, we have Mitch Ryan from Jefferies. Please go ahead.
Mitch Ryan: Thank you for taking my question this morning. My first question relates to as a follow-on from Matt. With regards, I'm just interested to understand what moving to P850 does to your medium-term sort of strip ratio. Look if you're not meeting that higher grade to feed in and get a 5.7 outcome. What changes to the mine plan are occurring? And what does that do to that deferred stripping?
Dale Henderson: Yes. Thanks, Mitch. Brett, would you like to answer that one?
Brett McFadgen: Yes. So the mine plan really is the ability for us to segregate the mine plan in sort of two parts. So material that was going to go to Ngungaju where we're pausing, and then we can concentrate on the Central and East pit of our cutbacks. So some of the waste stripping that we would have to have been doing for the Ngungaju to continue opening up those ore bodies will be paused for the short-term. So the strip ratio won't really change from the life of mine. We'll be concentrating a lot of our mining in the Central pit and East pit. And that also allows us to feed some of the better grades that's in there, but also utilize our ore sorting capacity, which brings in a lot of our contaminated stockpiles and material that we were previously unable to process. So they were the big leaders in really pushing the Pilgan plant in preference to the Ngungaju because it – Dale said that it has so much more flexibility.
Mitch Ryan: Okay. Thank you. And my second sort of is, I guess, a derivative of doing Ngungaju, you've seen other lithium producers, West Australian lithium producers calling for royalty relief. Do you think that's required at this point in the cycle? And would it have changed your decision to place Ngungaju into care and maintenance, if it was available?
Dale Henderson: Yes. Good question, Mitch. As a lithium producer, we're happy for all the help we can get. We'll gladly take it all. And as it relates to other asking for royalty relief, look, if anything was to be done there, it needs to be industry-wide and for all, not selective for a project whether it be of assistance, yes, but does it actually move the dial? And does it actually change our decision here? The answer is no.
Mitch Ryan: Okay. Thank you.
Dale Henderson: Thanks, Mitch.
Operator: Thank you. Our next question comes from the line of Al Harvey from JPMorgan. Please go ahead.
Alistair Harvey: Yes. Good morning, team. I suppose you did note in the slide pack that there are some additional cost-saving levers that you could pull if there is a further deterioration in market. So just wondering if you could step us through what those were, I know you're obviously elected with the Ngungaju curtailment that what other options were investigated and what could still be on the table if things do get worse?
Dale Henderson: Yes. Thanks, Al. Let me give you a quick snapshot and then Luke may want to add to this. So in terms of additional levers. There's quite a few in that starting in the mine ultimately, we could readjust the mine plan. We've got a balanced mine plan right now to make sure that we don't aggregate any sort of place burden for the future. We could optimize that further and changes to our feed strategy could be changed. Obviously, given that we've got these large ore orders, we could look at a scale back production with different ore feed strategy. That's possible. And as it relates through into the rest of the operation, things like rosters as a potential lever on we're avoiding those sorts of things are possible. And then beyond all of that, we could go to campaign operations, which we did back in 2019, 2020, which would be a pretty severe step. So some of those avenues are possible. However, I think it's – obviously, we don't know what the outlook for the market is. But this suite of changes we have deployed here absolutely puts us in a strong position to navigate this period to any of the current pricing. Luke, do you have any add-ons?
Luke Bortoli: No, you covered it.
Alistair Harvey: Thanks for that. Yes, maybe just one on Latin Resources, I guess. Maybe just a quick update on conditions precedent, have they all been satisfied? I mean, I suppose if you could just touch on how you're thinking about the development pathway there in the context of these softer markets, noting your comments already on P2000, but had thought that would be one that would likely come in before P2000 was executed anyway. So how are you thinking about that now?
Dale Henderson: Yes. Thanks, Al. So as it relates to the Latin transaction, priority one is to complete the transaction, of course. But, of course, in parallel, we're starting to think through the development pathway for that project, and we'll update the market in due course. As relates to the CP, they're still on progress, but there's nothing of concern there. And jumping back to the development path a bit like the way we think about the Pilgangoora asset P2000. We believe the long game and lithium, we think it's incredible to see this industry take flight. It's all about timing for both the expansion of Pilgangoora, and expansion of Salinas and Brazil. So what the team is turning their mind to is thinking through how do we get the most out of that asset in terms of potentially more drilling, potentially different lines, different plant constructs, et cetera. And ultimately, beyond that as a whole midstream, downstream supply chain strategy. So plenty to work through. But as we've done in the past, we like to have options, and we like to get ready such that we can exploit the market as it continues to mature.
Alistair Harvey: Yes. Thanks, Dale. Just squeeze one last one in. Just you did mention there the midstream, I guess, noting you've kind of put that on pause. What kind of market indicators where you'd be looking forward to maybe switch that back on and get that advanced?
Dale Henderson: Yes. Good question. We haven't – broadly speaking, it's about pricing and obviously funding. As it relates to pricing, we haven't work through the trigger points with that yet between their respective bars, Calix and Pilbara. The other key sort of factor is funding. We are in discussions with a number of government agencies around potential support. We'll see how that goes. But if additional support could come through there, and if we could achieve a breakeven type situation, I think it would be fairly probable. The Board would want to move forward with that. So we'll see how that goes. But whilst we're talking midstream for the avoidance of Dow, we think it's a great project, and we think this concept of doing more processing at the mine site. More sustainable methods to achieve a chemical product and stopping short of the battery-grade type complexities has strong merits and we remain focused on pursuing that. And ultimately, we like the idea of completing that downstream facility. And as an aside, the Latin Resource acquisition makes for an interesting prospect, given the very low cost of power and hydro-backed power. So looking forward to exploring the potential in time. Thanks, Al.
Alistair Harvey: Thanks, Dale.
Operator: Thank you. Our next question comes from the line of Kaan Peker from RBC. Please go ahead.
Kaan Peker: Good morning, Dale, Luke and team. Just looking at 1Q cost numbers, it's hard to understand why Ngungaju was placed on care and maintenance. I mean if you look at Pilgan and Ngungaju together, they operated at $600 a ton unit costs. Does that suggest that you underspent on OpEx? Or are you suggesting that price is not sustainable because you revised unit cost guidance with Ngungaju on care and maintenance is actually above what you achieved this quarter? Thanks.
Luke Bortoli: Thanks for the question, Kaan. Q1 performance is not really reflective of a full-year 2025 performance. There's a lot of different forces at play. Q1 essentially reflected the plants at a P680 level operating at close to full capacity. As we move into the later part of the year, what we see is the ramp-up of the P1000 project and the timing and commissioning of that project, which is likely to increase unit costs. As a consequence of that, you see higher unit costs in FY2025. And then beyond that, once P1000 or now P850 is fully ramped up, you will see very significantly lower unit costs. So there are a lot of different factors at play, which mean that Q1 costs are really not indicative of what occurs going forward.
Kaan Peker: Yes. I sort of understand that. But I mean there's a lot of conflicting messages here. But to be honest, if it is sustainable, and once you get P1000 operating, you would have thought that the combined Pilgan and Ngungaju plant would have a lower unit cost. But anyway…
Luke Bortoli: Kaan, sorry, just to correct you there. So the Ngungaju plant is higher cost than the Pilgan plant, which is the reason why it was the plant that was put into care and maintenance.
Kaan Peker: Yes, yes. But I mean, the cost guidance is above what – above what you did this quarter? And the second one, I mean you talked about the LRS acquisition being on strategy. It seems like the strategy has changed. You're focused on costs over volume. So would you have done the transaction given your current thinking now?
Dale Henderson: Yes. Thanks, Kaan. Probably just to circle back on costs. Last year was a ramp-up year. This year, the ramp-up year. Quarter-on-quarter performance is very much a function of the activities of that particular quarter. So as we think about the year we're in, and as discussed earlier in the call, March quarter, June quarter, looking forward, are going to be integration months as we bring on the P1000 extension. And as Brett touched on, we've built into the plan recovery impacts and so on so forth as part of that, all of that flows through into the guidance. So I appreciate looking back on a particular quarter in isolation. Some of that context is missing. So please keep that in mind that fast forward to FY2026, we'll have the full strength of the – what was characterized as the P1000 operation being expanded Pilgan operation at full flight. And the unit cost benefits will flow from that. Moving to your question on strategy. There is no change to strategy from the inception of this business. We've had the view that this is the emergence of an industry with long-term strong tailwinds for more demand. There will need a lot of lithium and low-cost lithium wins. Now we've had the benefit of building this business coming to the live care of the Pilgangoora asset being one of the best globally. We've been steadily building that capacity out over time and lock step with the right moments in the market. The Latin transaction is an extension of that philosophy, and it is more of the same getting ready for incremental steps of expansion. When that makes sense, timing that with discipline with the market and everything stacks up with that asset, low-cost asset, great domicile. There is so much to like, and we are very, very happy to be working and integrate with Latin team to develop that asset in time. Does that answer your question, Kaan?
Kaan Peker: Yes, it does. And just maybe looking at sort of the balance sheet, $1 billion of debt facility, $1 billion in cash flow, $2 billion of liquidity. You essentially mentioned cash flow breakeven prior to growth CapEx. So I mean why not slow down the pace of P1000?
Dale Henderson: Yes. So the issue there, Kaan, is we're in mid-flight. The team has vastly progressed with the project. We need to finish that through. There is no opportunity to pause at this point, it would be – cost a lot of dollars and very disruptive to do that. So we thought deeply about the market position way back at the start of the FID decision around ensuring that we had the ability and conviction to see through that full arc of investment, and we're staying the course. And that's all built into the plan, and that's the right thing to do, particularly in terms of the benefit to unit cost position. So all stacks up from our perspective, and we'll see that through. Thanks very much, Kaan. Really appreciate your questions. And I appreciate we're over time. So there's a final closing comment just like to thank everyone for dialing into the call today. The lithium market has been tumultuous, but the long-term trajectory. It's incredibly positive. The September quarter was a great quarter, solid operating performance, on track project delivery and we remain steadfast in our conviction on the market and navigating this part of the cycle. Thank you all for your time.
Operator: Thank you. This concludes today's conference call. Thank you all for participating. You may now disconnect.